Operator: Good afternoon, ladies and gentlemen, and welcome to the TFF Pharmaceuticals Fourth Quarter and Year-End 2021 Financial Results Conference Call. [Operator Instructions] I would now like to turn the call over to your host, Corey Davis of LifeSci Advisors. You may begin your conference at this time.
Corey Davis: Thank you, operator. Hello, everyone, and welcome to the TFF Pharmaceuticals fourth quarter and year-end '21 financial and business results conference call. With me on the line today is Glenn Mattes, President and CEO of TFF, Kirk Coleman, Chief Financial Officer; Dr. Dale Christensen, TFF Director of Clinical Development; Dr. Bill Williams in the University of Texas and Austin; and Chris Cano, TFF's Chief Operating Officer. The press release announcing our fourth quarter results is available on the TFF Pharmaceuticals website. Please take a moment to read the disclaimer about forward-looking statements in the press release. The earnings release and this teleconference both include forward-looking statements, and these forward-looking statements are subject to known and unknown risks and uncertainties that may cause actual results to differ materially from the statements made. Factors that could cause actual results to differ are described in the disclaimer and in our filings with the U.S. Securities and Exchange Commission, including the Risk Factors section of our 2021 annual report on Form 10-K filed with the SEC. And now it's my pleasure to turn the call over to Mr. Glenn Mattes.
Glenn Mattes: Good afternoon, and thank you for joining us today to review the company's fourth quarter operations and recent highlights. During this call, I will provide an update on our overall progress. There is a lot to share. After my discussion, our last leader of Clinical Development, Dr. Dale Christenson, to update us on the progress we are making on our internal clinical programs. Following Dale's remarks, Kirk Coleman, our Chief Financial Officer, will then review the company's financials for the quarter. Following Kirk's comments, Dr. Bill Williams of the University of Texas and Austin will provide an update on the latest R&D applications using our thin film freezing platform technology which continue to expand as well as opportunities to continue to expand our intellectual property estate. Finally, Chris Cano, our Chief Operating Officer and Head of Business Development, will update our progress in that arena as our thin film freezing technology continues to generate expanding interest on the part of industry pharma and biotech partners, some of the world's leading academic research institutions and the government. Without question, 2021 can be best described as a year of significant corporate achievements. Our robust activity on the partnering front coupled with the advancement of our internal clinical stage pipeline candidates should provide our shareholders with confidence that we are building significant sustainable growth and value while fully executing our corporate strategy. Obviously, the recent weakness in the capital markets have created conditions that, in our view, do not accurately reflect the progress we have made. Over time, however, we know that building partnerships and generating positive clinical data are important achievements that create value for our shareholders. So despite the current environment, we are more optimistic than ever that our progress on all fronts will be recognized and rewarded. Let me start by briefly describing the progress we've made in our clinical stage pipeline. I'm happy to report that the investments we made in developing our internal pipeline assets have enabled us to advance both of our inhaled voriconazole and inhaled tacrolimus into larger potentially pivotal Phase 2 trials that began at the start of the year. In a few minutes, Dale Christensen will describe in more detail these innovative clinical programs, but for now, I'll provide just a brief overview and explain the significant potential of each program. We are applying our thin film freezing technology to develop an improved formulation of the antifungal voriconazole. Our inhaled voriconazole powder has a target product profile that will improve upon orally administered voriconazole by delivering the drug directly to the infected lung tissue in patients with invasive pulmonary aspergillosis. Our clinical trial is designed to demonstrate efficacy while improving the safety profile of the existing drug, specifically in patients who require more chronic use of voriconazole, and patients where prophylaxis of inspections is advised. In fact, we recently hosted a TFF Science Day last December, featuring a presentation by Dr. Carsten Schwarz, Director of the Cystic Fibrosis Center in Potsdam, Germany. The presentation, which is available on the CFF website under the Events and Presentations section, provides an important KOL-based perspective on the broad potential of TFF to support the current use of the oral formulation. As we think about developing internal pipeline candidates, our main focus is not to just reformulate an existing or novel drug per se, but to rather develop a new formulation that has strong clinical potential to advance the current standard of care. Based upon the clinical data generated to date, the emerging profile of inhaled voriconazole powder has the opportunity to do just that and look forward to providing updates on the Phase 2 program as we move forward. We're equally excited about the potential to improve the current standard of care with our inhaled formulation of tacrolimus. TFF's inhaled tacrolimus powder target product profile includes delivering immunosuppressive levels of tacrolimus directly into the lungs following transplantation while reducing the patient's overall systemic exposure. Presently, tacrolimus is administered intravenously for lung transplant patients immediately following surgery prevent acute rejection of the transplanted lung. Unfortunately, higher doses of tacrolimus are often required to even acute rejection, and this can lead to considerable systemic toxicities. By delivering tacrolimus directly to the lung, by using our thin film freezing technology, we hope to achieve sufficient immunosuppression while avoiding the systemic toxicities associated with both the IV and oral delivery currently available. These toxicities are quite limiting and have an extreme negative effect on renal function. In our view, the successful development of an inhaled tacrolimus powder offers the potential to significantly improve upon the current standard of care of patients receiving immunosuppression therapy following lung transplant. We are also confident that TFF's inhaled tacrolimus powder will demonstrate similar advantage in patients who have received heart, liver and kidney transplants as well. The potential of the product can have a profound effect on a significant number of patients. Our internal commercial market forecasts conservatively project sales potential in excess of $1 billion, making TFF inhaled tacrolimus plate, a blockbuster drug. Now that we are in Phase 2 development for both TFF inhaled tacrolimus and voriconazole, it is important to note that the trials are designed with an interim data analysis. These interim data will be available in the latter part of the third quarter and will serve as a major inflection point for our company. As noted in our corporate presentations, it is our goal to partner these assets with the pharmaceutical company who has the ability to optimize these products in the commercial setting. That process has already begun, and Chris Cano will discuss the approach later on this call. Upon the successful closing of those transactions, we look forward to our meaningful monetization and creation of value for our shareholders. We also made considerable progress with our inhaled niclosamide program. Back in October, we announced Canadian approval for testing niclosamide in humans. And just last month, we announced highly positive data showing the ability of our inhaled niclosamide powder to significantly inhibit viral replications of the Abercrod variant of the SARS CoV-2 virus. These data showed the remarkable potency of this antiviral drug. When delivered directly to the lung in a low concentration, inhaled niclosamide powder produced very strong antiviral activity. Given this level of potency, we believe that inhaled niclosamide powder could offer a potential with respect to safety and tolerability over oral delivery. The full Phase 1 study data that will be available next month. Those data will be shared with our partner, Union Therapeutics. Union Therapeutics will then have some time to exercise their option to further develop inhaled niclosamide powder. TFF's believes strongly in the antiviral potential of niclosamide in COVID-19 and beyond. We're evaluating additional indications and potential for niclosamide involved receiving non-dilutive funding to move forward where there is an opportunity. In addition, we are working with our partner Augmenta Bioworks on Augmenta 3387. Augmenta 3387 is a potent monoclonal antibody that we are developing to treat SARS CoV2. Thus far, in animal testing, we have demonstrated positive data on all the COVID variants, including the Delta variant. We have shown binding to Omicron, and we're assessing the neutralization profile of Augmenta 3387 on that variant as well. Dale will discuss further in his section. And finally, we continue to work with Plus Products on refining the thin film freezing formulations of cannabinoids. Very happy to report that we are receiving very positive feedback from Plus on the consumer testing. Our goal is to launch TFF versions of cannabinoids as a safe substitution for vaping. It is imperative that the TFF formulations beat the preferred product profiles by the users. The target product profile is focused on an easy-to-use inhaled product that delivers a desired experience. We believe that we have now reached that threshold. Plus Products is an excellent partner and has worked closely with TFF to refine our formulations and test the products with consumers. Plus is in the process of restructuring their company, and we've been told that they are close to announcing a successful outcome. We look forward to partnering with Plus on bringing these products to the marketplace as soon as possible. We're also discussing the TFF cannabinoid opportunities with additional partners. TFF announced our latest collaboration with the Global CDMO Catalent on March 1. We are very excited about this agreement as Catalent significantly expands our access to manufacturing capabilities, which has been a major question asked by our potential pharma partners about producing product. This has been especially true in the biologics space, and Catalent clearly addresses this need. Catalent will also offer our thin film freezing technology to a targeted list of their over 1,000 clients. Catalent has a significant amount of sales resources to enable that effort, and we expect that the TFF portfolio collaborations will greatly increase as a result of this outreach. Now I want to address the status of our business development activities. Chris Cano will greater detail them in a few minutes. The work with potential licensing partners is proceeding very well. Our list of partners continues to grow as well as the number of open projects. We understand that the investor community wants to see TFF signed a number of meaningful licensing transactions. The TFF team very much shares this desire. The company is very confident that this will happen, and we will realize the value contribution to the company. Each partnership is different and requires a great amount of work to complete the required experiments to fully demonstrate the value of the thin film freezing technology. Again, this is especially true in the biologics space. We have not been faced with any specific scientific challenge that cannot be addressed. Our partners remain highly engaged, and we're working diligently to get to the finish line. We will continue to report progress - and when given the go-ahead by the partner, share their names with you. Continuing to focus on our accomplishments, I'm pleased to note that we recently entered into a second cooperative research and development agreement with the United States Army Medical Research Institute of Infectious Diseases, also known as USAMRIID, which is part of the U.S. Army Medical Research and Development Command and the U.S. Army's premier institution and facility for defensive research into countermeasures against biological warfare. In the Geneva Foundation, a nonprofit foundation that supports advances innovative medical research within the U.S. military. Through this collaboration, TFF Pharmaceuticals and USAMRIID will evaluate the immune response of a dry powder recombinant vascular stomatitis virus, severe acute respiratory syndrome, coronavirus two glycophorin vaccine using TFF's thin film freezing technology. The end goal is to develop a single, easily administered and temperature stable set of countermeasures to protect our war fighters is multiple viral pathogens such as SARS CoV-2, Ebola, Marburg and others. This is the second CRADA announcement we've announced over the past two years. And we're very proud to build the government partnerships that is so important in developing effective countermeasures to potential bio terror threats into the future of public health in general. These CRADAs are in addition to the contract we have with Leidos and DARPA to formulate additional countermeasures administered in unique formulations, including the nose, eye and skin. Also in the government area, I am very happy to announce that our efforts to expand and attract opportunities within the U.S. Federal Government and builds on our ongoing collaborations with USAMRIID, DARPA and other agencies. We have been engaging broadly with congressional members to elevate awareness of dry powder approaches with thin film freezing drying that allow for vaccines to be physiochemically stable. We saw this language included in the recently passed fiscal year 2022 government funding bill that was recently signed by President Biden. The language is not binding, but will elevate the opportunity for securing funding by providing notice to the related agencies such as HHS that Congress is interested in monitoring progress on this issue. You will note that the legislation at the language is specific to thin film freezing. Moving on in respect to recent corporate developments. I'm pleased to announce the appointment of Randy Roberts to our Board of Directors. Randy has over two decades of financial management expertise within the life sciences sector. As we continue to grow and develop more strategic relationships with our existing and future partners, Randy's expertise and experience will undoubtedly help us navigate the larger and potentially more complex partnerships while also bringing us to manage through periods of significant company growth. I welcome Randy to our board and look forward to working with her for many successful years to come. Today, we are also announcing that Dr. Brian Winser will be stepping down as Chief Scientific Officer and board member to focus exclusively on his role as CEO of Lux Therapeutics. Brian has been with us since our company's founding, has made many significant contributions both with respect to scientific achievements and as a board member. He was especially helpful as we prepared for and executed our IPO. I'd like to thank Brian for these contributions and wish him the best in his future endeavors. TFF is also proud to announce that Dr. Anthony Hickey will assume the role of Chief Scientific Officer for TFF. Dr. Hickey is a Professor in Pharmaco Engineering and Molecular Pharmaceutics at the Echelon School of Pharmacy at the University of North Carolina at Chapel Hill. Dr. Hickey is also an Professor of Biochemical Engineering at the University of North Carolina School of Medicine. And he has also been a member of the TFF's Scientific Advisory Board since its inception. Please join me in welcoming and congratulating Dr. Hickey. I also would like to announce the appointments of three senior executives who will bolster our leadership across key areas of our business. Dr. John Colin has joined as Vice President of Product Development and Manufacturing, Dr. Greg Davenport as Vice President of Government and Strategic Initiatives; and Paul Manley as Head of Regulatory Affairs. Each of these executives have significant experience in their respective fields. And as our partnerships and programs continue to expand, the death of their scientific knowledge, medical expertise and relationships will be tremendous assets how further grow our business. I realize that I just delivered a significant amount of dues and markedly left out other elements of our progress. Thank you for your attention and patience. Let me now turn the call over to our Head of Clinical Development, Dr. Dale Christenson, who will discuss our clinical programs in greater detail. Dale?
Dale Christensen: Thank you, Glenn, and good afternoon to everyone who has joined our update call today. Our productivity continued in the fourth quarter, and we continue to make significant progress by advancing our internal clinical development programs. Let me begin the clinical update by discussing our TFF voriconazole program. We are developing voriconazole inhalation powder for the treatment of invasive pulmonary aspergillosis or IPA. IPA is an invasive fungal infection of the lungs that causes significant mortality in patients with lung diseases and those with compromised immune systems, including patients on immunosuppressive drugs following transplants and those with severe neutropenia following chemotherapy for leukemia. Last quarter, we completed our Phase 1b trial in asthma patients. As a reminder, this study was performed to allow us to understand if patients with asthma or other hyperreactive airways due to lung disease would be experienced bronchospasm when the inhaled voriconazole was administered. And this was a necessary step to allowing those patients to be included in the Phase 2 trial. With this study complete, patients with asthma and COPD will be eligible to participate in our future studies. We have also initiated our Phase 2 trial in patients with IPA. The design of this study has been modified from our original study design and is now an open-label study that will randomize patients to receive either 80 milligrams of inhaled voriconazole twice a day or to receive oral voriconazole in accordance with the prescribing information. This change is due to the prescribing guidelines for oral voriconazole that provides for increasing the recommended 200-milligram twice-daily dose to as high as 300 milligrams twice daily if the patient response to treatment is inadequate or to reduce the dose to as low as 100 milligrams twice daily, if the patient is unable to tolerate treatment at a higher dose. In clinical practice, these dose adjustments have reduced the discontinuation rate due to dose-limiting toxicity, but does come with the additional burden of monitoring drug levels in the blood and associated liver enzyme function of the patients in order to identify the appropriate dose for each patient. It is our belief that delivery of the 80-milligram inhaled dose directly to the lung will free these patients and their physicians from the burden of repeated lab tests and dose adjustments to find the goldilocks zone with high enough drug levels in the blood to be efficacious, but not so much that it is toxic to the liver eyes or heart. In our open-label design, we will be able to determine the frequency of dose adjustments required to keep patients on oral voriconazole and compare this to the single inhaled dose. Another important milestone we achieved was that we also began dosing a lung transplant patient with voriconazole inhalation powder in a compassionate use study. This particular patient had previous fungal infections in the lung and experienced significant adverse events while taking oral voriconazole and other antifungals to treat these previous infections. This patient is infected by a non-aspergillus fungal species that is susceptible to voriconazole. Since the presence of non-aspergillus fungal species makes a patient ineligible for our Phase 2 study in IPA, the treating physician believes that TFF's voriconazole inhalation powder would provide the optimal results for this patient by effectively delivering the voriconazole directly to the site of the infection. More importantly, for this patient, the potential for efficient clearance of the fungal infection is combined with reduced systemic exposure that could otherwise adversely affect the patient due to drug-drug interactions with their immunosuppressive medications that prevent rejection of the allografted lung. I am pleased to report that the patient is doing very well on our voriconazole inhalation powder and the information received to date supports our treatment and safety hypothesis that underlies the development of this product. We will continue to monitor the efficacy of the voriconazole inhalation power in clearing these who have common fungal species, while also monitoring the safety of the drug as well as any drug-drug interactions that do arise. We will continue to treat more patients under this compassionate use approach when the appropriate medical need is documented by our network of physicians. In addition to advancing our voriconazole inhalation powder to Phase 2 testing, we've initiated Phase 2 trial activities in Australia with our tacrolimus inflation powder in lung transplant patients. This study will be performed in patients with stable lung allograft function, but who are also experiencing a level of nephrotoxicity that is causing their physician to reduce their tacrolimus blood levels in order to spare the kidney. These patients face a choice of risking rejection of the lung transplant or losing their kidneys due to tacrolimus-induced nephrotoxicity and up to 5% of lung transplant patients eventually undergo secondary kidney transplants. Our nonclinical studies demonstrated that when TFF tacrolimus powder is delivered by inhalation, greater levels of tacrolimus drug are retained in the lung tissue compared to the systemic exposure in blood, indicating that we can reduce the patient's systemic to tacrolimus levels to better protect the kidney while delivering sufficient concentrations of the drug into the lung to maintain the immunosuppression and reduce the risk of transplant rejection. In this study, we will be dosing patients for sufficient duration to measure potential rejection along with the stabilization or recovery of the kidney function. Next, I'd like to provide an update on the development of our niclosamide inhalation powder for the treatment or prevention of COVID infections. On our last call, we announced the dosing of the first subjects. And in January, we completed the dosing in this study. We've locked the database and expect to receive the unblinded data in the weeks to come. Delivery of niclosamide inhalation powder directly to the lung represents a highly promising approach for COVID. This was recently confirmed when we announced that our in vitro study showed that niclosamide inhibits replication of the Omicron variant of SARS CoV2. The potency of niclosamide derives from the drug's ability to inhibit human cellular targets and respiratory cells that are required for viral replication. This is in contrast to viral targeting drugs because the human host cell machinery is the target, this means that mutation of the virus does not allow for mutational escape from drug efficacy. Our future studies will position inhaled niclosamide for outpatient use so that patients diagnosed with COVID can pick up the drug from a pharmacy and self-administered at home. We believe the lower overall dose and limited systemic exposure will result in reduced adverse events compared to oral COVID-targeting antiviral products, a very important differentiator - the leading oral antiviral for COVID is comprised of an antiviral agent known as nimatrelvir that is paired with ritonavir. The function of ritonavir is to inhibit the cytochrome P450 enzyme SIP3A4 that metabolizes the antiviral compound. Inhibition of SIP3A4 ensures that enough of the antiviral drug circulates in the blood to reach effective antiviral levels. However, ritonavir is contraindicated with many critical drugs that are used by patients with complicated conditions. These conditions put them at risk for increased severity and death from COVID. This means that many of the most at-risk patients cannot take this medication. Niclosamide is not burdened by the same issues and the levels we are delivering to the lung would not suffer from similar drug-drug interactions so that it could be administered therapeutically and potentially prophylactically to these high-risk patients. Finally, as the Omicron and now Omicron BA2 wave has hit, the utility of monoclonal antibody therapies has essentially evaporated with the Regeneron and Lilly antibodies proving ineffective against Omicron and Avir GSK and AstraZeneca products being ineffective against BA2. We have found that our lead monoclonal antibody, OG-3387 that we have been developing with Augmenta Bioworks binds to the omicron-spike protein with high affinity. However, along with our colleagues at Augmenta, we continue to assess R3387s neutralization data, while determining the specific path forward for this asset. These discussions also include involvement with the members of our scientific advisory report. And with that update, I'd like to turn the call over to our Chief Financial Officer, Kirk Coleman, for a review of the financials. Kirk?
Kirk Coleman: Thank you, Dale. For the three months ended December 31, 2021, research and development expenses for the company were $6.9 million compared to $3.1 million for the same period in 2020. The increase in research and development expenses during 2021 was due to increased preclinical activity related to the niclosamide and increased clinical activity related to the inhaled voriconazole and tacrolimus programs. The ramp-up also includes our preliminary analysis and testing of dry platter formulations of several drugs and vaccines that we believe have the potential to become product candidates. For the full year 2021, research and development expenses were $21.3 million compared to $10.7 million in 2020. The increase in research and development expenses during 2021 and was mainly due to increased manufacturing costs, clinical and preclinical expenses related to niclosamide, voriconazole and tracrolimus programs, increased payroll-related expenses and increased stock-based compensation. The increase in research and development expenses also includes our preliminary analysis and testing of dry powder formulations of several drugs and vaccines owned or licensed by third parties that we believe may lead to the out licensing of our TFF technology for the development of dry powder product candidates. General and administrative expenses for three months ended December 31, 2021, were $3.2 million compared to $2.9 million in 2020. For the full year 2021, general and administrative expenses were $10.6 million compared to $8 million for 2020. The company reported a net loss for the fourth quarter of $10 million compared to a net loss of $5.9 million in 2020. For the full year 2021, the net loss was $31 million versus a net loss of $18.6 million for 2020. Weighted average common shares outstanding basic and diluted for the three months ended December 31, 2021, and were 25,371,781 compared with 22,759,329 for the same period in 2020. As of December 31, 2021, we had total assets of approximately $40.7 million and working capital of approximately $36.9 million. At the end of the fourth quarter, our liquidity included approximately $33.8 million of cash and cash equivalents. And with that, I'd like to turn the call over to Dr. Billy Williams, who will talk about some of the groundbreaking work we're doing using our thin film freezing platform, particularly with large molecule biologics, and how our technology is unique in its ability to successfully transform these complex molecules into an inhalable dry powder?
Bill Williams: Thank you, Kirk, and good afternoon, everyone. I am pleased to report that we have had another productive quarter on many fronts for expanding the thin film freezing technology platform and differentiating it from other technologies. We have published in high-impact journals, important new research on several aspects of thin film freezing, including on the preparation of dry powder for inhalation containing monoclonal antibodies made by them film freezing. This new research confirms that the aerosol properties of an anti-PD-1 monoclonal antibody made by thin film freezing were significantly better than powder prepared by conventional shelf freeze stride. Also, when stored at wound temperature for 10 weeks, the anti-PD-1 monoclonal antibody in the powder was stable, whereas the same formulation stored as the liquid was not. It is evident that the antibody is not stable when stored is a liquid at room temperature on a shelf. Thin film freezing solved that limitation. With respect to heat stability we reported that the addition of a pharmaceutically acceptable excipient in the formulation was able to significantly raise the glass transition temperature of the powder, a key metric to predict storage stability, which is expected to further increase the storage stability of the monoclonal antibody. Importantly, the PD-1 binding activities of the anti-PD-1 monoclonal antibody before and after thin-film freezing were not different. Lastly, we showed that another monoclonal antibody and anti-TNF alpha could also be converted to a dry powder by thin film freezing. For comparison, it was reported that win infliximab, the anti-TNF alpha monoclonal antibody contained in the product REMICADE, when it's processed by a spray drying process, this binding ability was reduced by over 20%, which is an unacceptable reduction. So applying thin film freezing to the anti-TNF alpha in our study had superior results compared to spray drying another antibody based on the infliximab paper. We concluded that thin film freeze can be applied to produce stable aerosolizable dry powders of monoclonal antibodies or pulmonary delivery. As Glenn noted earlier in this call, it is clear that thin film freezing applications are now viable across an expansive range of molecular structures, including biologics. And we continue to grow the number of projects in development utilizing thin film freezing for next-generation monoclonal antibodies, fusion proteins and many other biologics. Next, we have successfully applied dental and freezing to formulation of dry powder vaccines containing the adjuvant MF59 or Adavacs, which is a similar adjuvant to MF59. So why is this significant? Vaccines containing these important adjuvants are difficult to formulate and stabilize. These adjuvants like MS our nano emulsion-based vaccines that are now used in seasonal and pandemic influenza vaccines. However, these adjuvant vaccines require a cold chain for storage and are sensitive to accidental freezing. Our new studies confirm that dental freezing can be applied to convert vaccines containing MF59 or Adavacs from liquid to a more stable dry powder while maintaining the immunogenicity of the adjuvanted vaccine. Based on our studies to date, the foam freezing can be used to prepare dry powders of multivalent universal influenza vaccines as well. We are very excited about these results, which again point to the versatility of the thin film freezing technology and its potential to enhance vaccine formulation development. So these highlight just two of our most recent published research papers from our group on thin film Freezing, and we also plan on publishing additional research very shortly, including a publication that will describe the development of powder formulations of the liposomal adjuvant AS01B containing vaccines using thin film freezing. This adjuvant AS01B is important since it is the adjuvant used in the FDA-approved Shingrix vaccine for herpes zoster and shingles. And it is used as the adjuvant in malaria vaccines that are being tested in Phase 2 clinical studies now. Finally, we will present five key papers at the upcoming Respiratory Drug Delivery conference, which is being held in Orlando, Florida in early May. The theme of our talks will be to provide this influential audience with our most recent data on applications have been film freezing to stabilize and deliver biologics to differentiate in film freezing from other technologies for proteins and to discuss applications of artificial intelligence to facilitate the drug development process for products made by. In closing, I want to acknowledge my colleague, Professor Jen Ron Qui and our team of dedicated researchers at the University of Texas at Austin for their significant contributions and collaborations. I also want to thank Dr. Tony Hickey for agreeing to serve as Chief Scientific Officer. Tony is internationally recognized for his expertise in drug delivery and drug therapies and this will greatly complement our efforts. Thank you for your continued interest and support. And I'll now turn the call over to Chris Cano, Chief Operating Officer and Vice President of Business Development for TFF Pharmaceuticals. Chris?
Chris Cano: Thanks, Bill, and good afternoon, everyone. Thank you for joining us today. The TFF's business development team is focused on three key areas of growth for the company. These three key areas are: one, growing the TFF pipeline of internal development programs; two, our pharma partnering efforts and three, our government and academic contracting efforts. We continue to make tremendous progress in each of these key areas. For today's call, I will be focusing on our lead collaboration efforts with both our pharma partners and our academic collaborators. First, with our pharma partners, TFF continues to be very active in the biologics space. or biologic projects are steadily advancing as key experiments get us closer to satisfying their requests by our partners for the data they need to execute the licensing agreements. We also continued to increase the number of partnerships each quarter. Lastly, we are in continuing discussions with a number of new potential partners discussing additional feasibility projects. These biologic projects include, but are not limited to, different phases, monoclonal antibodies, fabs, siRNA, oligos, mRNA, plasmic DNA, peptides, proteins, DSV, lentivirus and nanobodies, among many other classes of complex biologics. TFF continues to work with its partners in two key applications of the TFF dry-powder technology for biologics. The first application is formulating our partner's proprietary biologic into a stable dry powder for inhaled delivery directly to the lungs for certain respiratory diseases. The second application involves taking our partner's proprietary biologic vaccines and formulating a stable dry powder version for reconstitution and injection, which is not subject to cold chain storage. Our experiences have shown that every biologic drug substance that we received from a partner is unique and has its own set of challenges. In other words, there is no one-size-fits-all solution. In fact, the tremendous amount of formulation work and testing takes place for each biologic product through numerous rounds of formulation work and testing, is able to fine-tune our technology and our processes to discover and optimize the unique and innovative dry powder formulation for that specific biologic drug substance. These efforts are all performed in a direct, interactive and collaborative manner with all of our partners. As an example, we have multiple mRNA programs with numerous different pharma partners. Across the board, our TFF dry powders have shown exceptional physical attributes, which include very favorable particle size, poly disparity and PDI and very high encapsulation efficiency rates. Beyond the physicochemical testing attributes, TFF is also testing the integrity of these mRNA products by a capillary electrophoresis or CE testing. Our CE testing shows that following the application of our TFF dry powder process, the integrity and activity of the mRNA shows minimal loss or is equivalent to the original mRNA, which is a critical measurement in determining the retention of the compound's physical, chemical and biological properties. We have shipped our dried powder samples to multiple partners. For some partners, we are awaiting transfection as a testing results. For others, we are awaiting confirmatory physicochemical and molecular integrity testing to be completed by the partner. For others, we are awaiting results from stability testing of the mRNA dry powder at various temperatures and time points. And for some other partners, we are conducting animal studies. These efforts do take time. And for each partner, across all our different biologic projects on a case-by-case basis, partners are requesting different stages of testing and/or different datasets in order to commence licensing negotiations. In many cases, the partner funds the work that has gone beyond what was planned in the original NTA statement of work. Rest assured that in all cases, TFF continues to take a very aggressive approach with its partners to reach our goal of entering into collaboration and licensing agreements with each of these partners. Now let me provide some brief updates on some recent partnering activity. As recently disclosed on our website, we are very pleased to be collaborating with Pfizer on multiple projects. This work is moving along very well, and TFF is generating positive data on these projects. Pfizer continues to review and evaluate the data in real time, and we continue to aggressively move these projects forward. Also, as we just disclosed on our website, we are now partnering with Astellas in a specific product where we are applying, processing, formulating and testing the TFF dry powder technology to formulate a dry powder version of a specific Astellas product. Being sensitive to the confidential nature of this project, we cannot disclose any further details at this time, but hope to be able to provide more color as this project evolves, and we received the proper disclosure approvals from Astellas. As Glenn previously mentioned, we are very pleased to be partnering with Catalent. This partnership will provide TFF with the opportunity to work with Catalent and expanding our access to scale up manufacturing capabilities. While at the same time, giving TFF access to a very large customer base to evaluate the applications and benefits of the TFF technology. We believe this collaboration can ultimately lead to additional licensing partnerships for TFS, providing us with a potentially meaningful source of revenue over time. At TFF, there are many applications of the TFF dry-powder technology. We continue to aggressively explore and expand into new areas and/or applications of our dry powder technology. Most recently, TFF entered into a new feasibility arrangement with a new undisclosed partner. We are moving forward on a new initiative, the concept of formulating the TFF dry powder for use in an intranasal device. TFF along with our partner, are exploring the applicability of a specially formulated TFF dry powder in our partner's proprietary intranasal device. If these initial experiments proved successful, we believe the unique attributes of the TFF dry powder can be expanded to include additional rights of administration, which depending on the compound from the disease state can be very advantageous for both patients and prescribers. As Glenn mentioned earlier, we have finalized and CRADA with USAMRIID. This is our second CRADA with USAMRIID. With our partners, we will be evaluating the immunogenicity and protected efficacy of the TFF tri-powder version of a VSV vaccine for COVID. We are very excited to progress this animal work with our partners and continue to advance this asset through the next stages of development. We also continue to make very good progress with our academic partnerships. In collaboration with the University of Georgia, late last year, we filed a publication related to the application of the TFF technology, to formulate certain adjuvants. These were adjuvants utilized in our mass immunogenicity study, which we reported on back in October of '20. Also with our partners at we received favorable efficacy data in our recent study. We are now in discussions with GA on clearly defining next steps on advancing the TFF version of UGA's universal influenza HA recombinant vaccine. With the Albert Einstein College of Medicine, we are now moving our VSP program into both animal studies and stability testing. And with Dr. Drew Weissman at the University of Pennsylvania, we have completed our initial mRNA formulation, and we have finalized our protocols for animal testing, and we are scheduling the delivery of our TFF dry powder samples to Dr. Weissman to commence these studies. As it relates to our internal programs, we have recently engaged Celaya Partners as our financial adviser to lead the partnering process on both our lead assets TFF vori and TFF tac. We have prepared virtual data rooms in advance of this process, and we currently have interested commercial partners performing extensive due diligence exercises. As mentioned earlier, upon receiving the Phase two interim data, TFF will be actively engaged in asset acquisition and license negotiations. In summary, the TFF BD team has been making tremendous progress in our partnering efforts. We continue to grow the number of collaborations with pharma partners and academic collaborators and as well as we continue to grow our government contracting efforts, all in the strategic effort to expand the applications of our thin film freezing technology. In closing, I would like to thank our partners at the University of Texas at Olson. With the continuing efforts and support of Dr. Bill Williams and his research team, we continue to expand the applications of the inform technology into new and innovative areas drug delivery. Thank you for your time today. Enjoy your evening. I will now hand it back over to Glenn.
Glenn Mattes: Thanks to Dale, Kirk, Bill and Chris, and I apologize for the length of the call. We're always faced with the time challenge in order to selectively communicate the breadth of our work and opportunities. As I mentioned in my earlier remarks, TFF is continuing to execute across all facets of our business. And while the current market conditions make it challenging to reflect the progress in our share price, I want to ensure our shareholders that validation of our core drug delivery technology only continues to grow and is shown by the continued expansion of our partnered programs, coupled with the success we are demonstrating and advancing our internal clinical stage assets, which are rapidly approaching the opportunity to partner and monetize. TFF has achieved significant recognition and validation with the light brightly shining on the thin film freezing platform by the pharma industry, academia and government. The opportunity to work with Catalent is also a significant boost to our capabilities and potential. As we continue to execute on our business strategy and believe a closer alignment between the growing value of our technology platform and our company valuation should eventually be realized. I think all of the TFF employees can consultants to their contributions to the company and I also want to thank our shareholders for your support. And with that, I'll turn the call back to the operator and then open it up to questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Jonathan Aschoff with ROTH Capital Partners. You may proceed with your question.
Jonathan Aschoff: I was wondering if you could first tell us the significance of the recent niclosamide data. Now more specifically, how you directly correlate in vitro drug correlations with what you expect to achieve in the first trial in humans, which is kind of a very different macro environment.
Glenn Mattes: Jonathan. This is Glenn. Dale, could you answer John in his question, please?
Dale Christensen: So we have done a number of things to help make that correlation. One is that we have published data where we administered the TFF niclosamide powder directly to the lungs of hamsters and rats. And we were able to quantify the amount of niclosamide in the lung tissue as well as the epithelial lining fluid, the fluid that lines the lungs. And there, we saw that we would be delivering far more than the one micromolar concentration. Also, we are delivering a clinical dose where we saw safety at 6 milligrams delivered twice daily. With that 6-milligram dose and an estimated volume of approximately 50 milliliters of fluid in the lung, that gives us a concentration of the niclosamide in the lung lining fluid of greater than 100 micromolar. So when we saw one micromolar concentration effectively inhibiting complete viral replication. We know that by delivery of our dry powders, we are exceeding that concentration throughout the testing, both in the hamsters and rats in vivo as well as with what we would expect from the humans.
Jonathan Aschoff: What do you guys think that Union needs to see from the Phase 1 niclosamide trial to elect to conduct Phase 2?
Glenn Mattes: Yes. So we have been getting really nice feedback from union on all of the work that we've been doing, Jonathan. We think the work we've done and what we'll see in the final tables of the Phase 1 data will certainly meet and clear the hurdles of what union is expecting. What we don't know is what the current overall strategy, but from what we've done in terms of the data generation, and what we've been promised that we would do. We've done everything that we think should get them to exercise the option. So we're positive about that. They will have time to assess that after Dale produces the final tables Certainly, we want union to exercise the option, and we would go on from that point.
Jonathan Aschoff: Okay. And you guys just said that you were very keen on partnering the non-biologics that you have tac and the vori, and I was kind of wondering when will we see Phase 2 tac and vori data that would be the kind that would drive someone to partner?
Glenn Mattes: Yes. So we think in the latter part of the third quarter, Jonathan, will have meaningful interim analysis to share with the partners that are lining up in Chris' process with Terrea. So the open-label studies. So we think certainly by, I would say, in the latter part of the quarter, we will have enough data for them to decide. You never know, I mean, these partners could decide to make an offer before they see data. If I were them, I wouldn't. But so we're preparing to do this the right way and have the data be sort of the final piece that they need to make us offers. Everything else that we've done is all of that's in data rooms of our patent information. So they should be ready to make offers as soon as those data are made available.
Jonathan Aschoff: Okay. And just one last one. Is your latest CRADA developing multi-pathogen prophylactic products, or single pathogen prophylactic products.
Glenn Mattes: Dale, do you handle that one?
Dale Christensen: Yes. So the current CRADA covers a single product initially that we will - that is a proof of concept for the approach that will then lead to additional testing of other - against other pathogens.
Jonathan Aschoff: But you can make a product where - I mean, are you intend to make a product where they can take one hit and be protected against many things and get back to shooting?
Dale Christensen: That is ultimately the goal. But yes, it has established the first one, and then we can make the multivalent after that.
Operator: Our next question comes from the line of Mayank Mamtani with B. Riley Securities. You may proceed with your question.
Unidentified Analyst: This is actually William on for Mamtani today. I really appreciate the update and all the progress that you've been making. Two questions here from us. First being, do you think you could provide a bit more detail on how investors should think about the path to monetization for each of the CRADas entered with the? And then it would also be good to understand the significance of the government of subcontractor designation and some of the barriers to entry which confer a competitive advantage to TFF?
Glenn Mattes: Yes. So we look - first of all, thank you for the questions. So the CRADA give us a great opportunity to develop products ultimately have an inherent customer in the government. And as those CRADAs work, then beyond any sales to that customer, we would be able to look at other commercial opportunities through that work. It also gives us the non-dilutive opportunities to further expand the utilization of the technology in these very, very important biologic areas. On the DARPA program, we are subcontracted through Leidos and all commercial terms and sales of anything that comes out of that work with DARPA on countermeasures also will have a monetization effect and a revenue generation effect for TFF. So a lot of the devils in the details and what the data are and how quickly we can get these things through the development cycle. But we do see that as sort of - you've got the government of the customer. And then, of course, anything beyond the government sector, TFF would benefit from sales there as well.
Unidentified Analyst: Excellent. Makes sense. And then additionally, is there any extra color you could provide on how you plan to create value from the external programs, including the universal influenza vaccine with let biotechnology and the Plus product relationship following the restructuring?
Glenn Mattes: Sure. So passive to head for us with UGA, first of all, to finish up the data. Ideally, TFF would like to secure the exclusive rights to the tech transfer of that technology from UGA. And just like we've done, for example, in the case with Augmenta Bioworks where we invested in the asset through a Phase 1 trial. We would either do that alone or seek non-dilutive financing. And at that point, once we've demonstrated safety through Phase 1 and finding the partner to take that forward. That's one of the reasons why we've brought - Greg to have a port on board to really work grant side of things or all the different departments of government, including beyond DARPA, but looking at BARDA, and Ian, et cetera. And we've been pretty active in making them aware of all the work that we're doing there. So once we have the animal data, then we'll make the effort to secure the tech transfer and move that asset along. Since you asked around the cannabinoids, we're really feeling very good about where we stand right now. One of the - we've learned a lot and Plus has been a terrific partner in helping us refine our formulations and do commercial testing. What we did discover and I think as you're aware, we're positioning the TFF cannabinoids as a substitute for vaping healthy, substitute for vaping. And so there's - basically, this is direct inhalation of the TFF formulations either through our capsule or direct innovation through some other devices that we've worked up with our friends at us. And when we did discover that when you inhale, THC directly to the lung, albeit you get a very nice experience, you also - THC seems to be a neuroten. You got a little of cough, thing in your chest in our resident formulation expert, John Colin has really refined those formulations. I don't feel at liberty to share you what we've done to modify the formulation successfully. Those have met with really extremely positive commercial response. And now as we look forward, we're doing some more testing plus is hopefully in the process of finishing up their restructuring and moving the product into a commercial launch. We do have some backups there. We've certainly been talking to other companies about our technology, but we feel that Plus has been a loyal partner. They've been along us the whole way. It helped us really get to the point where I think we're ready to enter the marketplace in a very, very meaningful way. The other thing we learned is it's a tough market. It's highly competitive, a lot of price pressure. But again, that's why we've taken the time to really refine these formulations to the point where we've gotten the feedback from the marketplace that these are - these can be and will be a very desirable product. So look, it's taken a little longer than we thought. We learned some things formula equally that we've been able to address. We've been through multiple, multiple iterations, a lot of work, a lot of creativity. And now I think we're at a pretty important inflection point. We'll see where plus lands in the next hopefully, a few days or weeks.
Operator: Our next question comes from the line of Daniel Carlson with TW Research Group. You may proceed with your question.
Daniel Carlson: Lots of interesting tidbits from your call. Just a couple of quick questions. I see you at Astellas, as you said, to the slide deck. And I know you can't comment much about that, but maybe you can comment about what the criteria is for adding any of these major pharma partners to your slide deck?
Glenn Mattes: Yes. Daniel, I hope you're doing well. So the first thing that I guess I should share is very, very few of the partners we have been working with or work with really want to give us an opportunity to share that we're working with them. And in many cases, I think as Chris articulated well, if you know that a company is working with TFF on dry powder formulations, it's not hard to figure out what we're working on, right? And a lot of these situations, it becomes a concern over competitive age. Now these companies understand that we're not working with them exclusively in these spaces, but they're really hesitant to go ahead and share with us. Now none of these companies have been working with for a long time, and the work has matured quite nicely to the point where I think they feel and we feel it's a good time and it makes sense for us to share the name of the company. Clearly, it's very selective. We only want to share those companies that we think will be meaningful to our investor audience. And I think hopefully, maybe one in these and two of those, you'll see more and more of these show up on our list. And at the same time, those companies that are in listing, we'll close transactions with them. So I take it as a good sign certainly, if things weren't going well, they would not want us to share their name. But don't take it as if it's not going well when companies don't want us to disclose. So it's we're happy to when we can and where we think it's going to be meaningful to an investor to see that we're making progress.
Daniel Carlson: Got you. sounded very interesting that you're doing compassionate use in vori, especially in a different indication. So kind of a multipart question here. Just how broad are the indications here for compassionate use. So where is that interest coming from? And how does this impact the overall program?
Glenn Mattes: Dale, do you want to answer that, please?
Dale Christensen: Daniel, very good question. So the interest is coming from - for this particular patient that we started. So I'll talk about the current patient and then I'll talk about the overall plans. The current patient is someone who already has a history of fungal infections that were treated with antifungals and the patient when they were given oral or IV, the doses that would be used systemically. The patient had very severe tolerability issues. And there were other contraindications that made it so the patient could not take voriconazole orally because it is the best drug to treat the fungus that's growing in his lungs. The physician felt like this inhaled route and delivery of the drug right to the site of infection would be best or the best way to approach it and lower - and have the lower systemic levels. That has translated to Again, this is a lung transplant patient where the subject is on tacrolimus and other immunosuppressive drugs, so drug-drug interactions are a problem. And in fact, this patient has had minimal drug-drug interactions and that require dose adjustments of tacrolimus. So it really does support our hypothesis that we can potentially - we'll get some single case data for efficacy out of this, but it does support that we deliver lower systemic concentrations that require fewer drug-drug or dose adjustments for drug interactions with the others. Going forward for other patients that we might take into the trial, again, we would be predominantly looking for subjects to skip this general thread where they would not be somebody who - they're not occurring in a location that - in a country where we're operating sites for our clinical Phase 2 clinical trial. They would not be people who - or have drug-drug interactions that would complicate their treatment otherwise. And who in a - especially lung transplant, heart transplant, kidney transplant, that type of patient that ends up with these infections. That's kind of what we're thinking about for this type of study, but it is really a one-off case-by-case basis, looking at the data for the individual patients and making sure that this is the right drug to treat their infections.
Daniel Carlson: It seems like great validation for the program. So congrats on that. And then, Glenn, one last question. You mentioned in the on the best package specific language with thin film freezing, which makes us almost seem like tailored for you guys. Can you just provide any more comment about that whole situation?
Glenn Mattes: Yes. So Daniel, we - there's a lot of things that we do here that we're not public about in fact, if we were public about everything that we do these calls would take two hours, not one hour. In fact, we apologize for the line. But we have been working on a lot of different levels when basically this whole issue of cold chain stores started to gain attention to our technology. And one of those arenas, and we kind of viewed it time. I don't think Kirk's term as a lottery ticket, right? But we brought some people in that did know how to do this kind of work. And clearly, the technology offers a lot of value in that everybody in the government, everybody in the commercial or all the clinical development world. So make a long story short, we were able to present the technology to people that are in a position to move things like this forward in government appropriations. And as a result of that work and the perceived benefit of the technology, we were able to have this language added to the omnibus legislation, which just so happened specifically use the language of thin film freezing powder, it's misspelled powers, but it's powders. And we're really excited about that. And so it's basically no guarantee of funding. This is in the '22 fiscal year budget for HHS to pursue, and they have notice to be able to fund activities here. And now it's our job to go after those, right? And we have lots of really interesting ideas about how they can help us. So look, it's an amazing technology. The company has really had a terrific year. A lot of news. We'll have a lot of news coming up, partnerships to come. And this is just another way that we could create value for patients and our shareholders. Okay. Do we have, operator, anybody else in the queue?
Operator: We do not. Like to turn it back over to you for closing remarks.
Glenn Mattes: Okay. Well, thanks to all the questions, all the listeners. As you know, I'm always available to add some color to what we've been able to describe to this afternoon. I want to thank my team. They are really remarkable in what they do. and we're really looking forward to where this is all headed in the coming days, weeks and months, and we look forward to our next earnings period and earnings call. Wish you all well, stay healthy. and happy, and we'll talk to you soon. Appreciate it. Bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and enjoy the rest of your day.